Operator: A wonderful good afternoon, ladies and gentlemen. Welcome to the Sika Half Year 2024 Results Conference Call. My name is Franci, the Chorus Call operator. I would like to remind you that all participants will be in a listen-only mode and that the conference is being recorded. The presentation will be followed by a question-and-answer session. [Operator Instructions] At this time it is my pleasure to hand over to Mr. Dominik Slappnig, Head Communications and Investor Relations. Please go ahead sir.
Dominik Slappnig: Good afternoon and welcome to our half year results conference call. Present on the call with me today is Thomas Hasler, CEO; Adrian Widmer, CFO; Christine Kukan, Head of IR; and [indiscernible], IR Manager. We published our half year figures this morning at 5 o'clock. The presentation to the half year is as well published on our website. With this, Thomas Hasler and Adrian Widmer will provide further details on the results and the outlook. Afterwards, we will be ready to take your questions. I hand now over to Thomas to start with the highlights of the first half year.
Thomas Hasler: Thank you, Dominik, and welcome to our half year call. And I'm very proud to present here a very strong operating result for the first six months, which are a clear demonstration of our strong and excellent position to gain market share even in demanding conditions or under demanding conditions. Starting on the top with a record net sales of CHF5.8 billion, plus 9.2% in Swiss francs or translated into 12.8% in local currency, we are well advancing and taking market shares in all the markets we are present. It is also a currency impact of 3.6% that we have to consider still on the high side, but with a lowering trend going forward. One of the most remarkable achievements clearly is the material margin expansion above 55% in the first half of this year. Adrian will go into the details. But of course, it starts all there, where it then triggers down with a good cost management into an EBITDA margin jump of 220 basis points compared to the first half in 2023. So this will be explained in all details by Adrian in the coming session. I would like now to steer over to the highlights that is overarching and is most significant. It's the well integration efforts of MBCC, which also allowed us to raise our synergy guidance for the current year, up to CHF100 million to CHF120 million. It is just fantastic to see how the combined organization is advancing in the implementation of the well-defined actions to gain synergies on the commercial side with the cross-selling activities, the portfolios that have been put together as well as also on the cost side in integrating very well on the back office side on the operational side. And all this with the momentum and with an energy level that is making this, let's say, outstanding results possible. At the same time, I would like here also to mention our global employee survey, which we have conducted for the first time under the 2028 Strategy. And the results have been very, very encouraging and led to extraordinary engagement rate of 86%. And this is the clear manifest of the organization that our employees are highly engaged. And you have to consider that many of the employees have been recent joiners of the Sika Group, 6,000 came in through MBCC less than 12 months, 4,000 have come in as a normal cause of fluctuation, so many new joiners. But from the beginning, being highly engaged, contributing, making those fantastic results possible. I would also like to outline that our drive for the net-zero implementation has been validated by the SBTi, and so our roadmap and our implementation for net-zero targets are well in line, and we are working towards those according to our strategic targets that we have outlined in our 2028 Strategy. Other highlights of the first half are the acquisition of Kwik Bond, a bridge deck renovation company in the U.S. It is a fast implementation system that allows that we have only very limited downtime and can operate bridges during the day while overnight they are going to be renovated. It's a system that has been adapted to over 30 DOTs in the U.S. and it is expanding. And we see also great opportunities to use it in other mature markets where we have plenty of, let's say, aging infrastructure needs also for fast renovation and where we can then also build on this technology that Kwik Bond has introduced 30 years ago in the U.S., and is now available for Sika worldwide. We also have worked on our expansion, our organic expansion of our footprint with the fiber factory in Peru. We are addressing an ever-growing mining opportunity in LATAM with these fibers, we are providing short creed concrete solutions to secure mines in advanced and in a more cost-efficient way. We also have continued our expansion in China with an additional factory for the tile adhesives business that Sika BFM is so well introducing and expanding into the Chinese distribution market. So ongoing investments on the organic as well as on the inorganic as well as on the people side are the key for us to drive further momentum in the coming months and the years ahead. But now I would like to hand over to Adrian to provide us more details on the set of key financials that we have disclosed today.
Adrian Widmer: Very good. Thank you, Thomas, and good afternoon, good morning everybody in the call. As you have heard from Thomas, we have been operating in a challenging and volatile market environment, but have again delivered strong numbers, strong sales growth of 12.8% in local currencies in the first six months of the year, which also includes four remaining months relating to the MBCC acquisition, which we closed in May 2023. Organic growth for the period was 0.5%, one acquisition here mostly related to MBCC, but also including the mentioned Kwik Bond acquisition in Q2 added 12.3% of additional growth in the first half year of 2024. Negative currency effects continue to be significant, but have reduced an impact in Q2, reducing local currency growth overall by minus 3.6 percentage points. Currency headwinds continued to be most negative in the APAC region and overall corresponding group-wide growth in Swiss francs was 9.2%. All regions benefited from the acquisition of MBCC in terms of top-line development. However, overall growth patterns by regions were somewhat different. Region EMEA grew 13.5% at constant currencies, organic growth of 0.4%, with a further slight uptick in Q2. The positive trend towards more infrastructure and commercial construction projects continued. We also achieved growth in the distribution channel. At local level, particularly in the Middle East, Africa and Eastern Europe showed further growth, while Germany, one of the most important markets, showed an improving momentum. By contrast, the automotive and industry business recorded a subdued first half of the year, owing to declining production figures for vehicles. And last but not least, MBCC added a further 13.1 percentage points of growth. Foreign exchange effects at minus 3% were negative, but also here, reduced significantly in Q2. Region Americas recorded the strongest growth at 15.1%, driven by MBCC as well, but also the acquisition of Kwik Bond at the beginning of the second quarter. Organic growth was 1.2% for the half year period and was up from the first quarter as well in Q2. Factors supporting the positive trend in North America were state-funded infrastructure projects, and commercial projects related to reshoring, mainly of manufacturing activities to the U.S. Latin America also contributed to the positive trend in the region, with Brazil being the most dynamic one. In the automotive business, Sika achieved a slight increase in sales with further increasing its content per vehicle. Acquisition growth contributed 13.9 percentage points of growth. Foreign exchange effects also in Region Americas continued to be negative at minus 2.2% for the period, but mostly coming from Q1. Sales in Asia Pacific increased by 8% in the first half of 2024 with organic growth slightly negative at minus 0.3% for the first half year. In China, we achieved moderate growth in the distribution channel despite declining markets, while the project business experienced a clear decline versus the first half of last year, and particularly against difficult comps in Q2 of the previous year. On the other hand, Southeast Asia, has gained momentum over the course of the year with high single-digit growth. In the automotive business, Sika expanded its content per car with local and international automotive manufacturers in China and India. MBCC contributed 8.3 percentage points of growth, while foreign exchange impact continues to be very negative at minus 7%, driven by a weaker Japanese Yen and Chinese RMB, but likewise with a relative improvement in Q2. Now moving down the P&L. Looking at material margin, here we delivered another significant expansion of the material margin with the growth result expanding by 240 basis points to 55.1% of sales. This is up from 52.7% in the same period of the previous year, maintaining material margin at Q4 2023 level. Declining yet flattening material costs year-on-year as well as structural procurement initiatives and MBCC synergies led to the significant material margin expansion. Dilution effect from acquisitions on material margin level was rather small at minus 20 basis points. Reported operating costs, which include both personnel costs as well as other operating expenses developed broadly in line with sales growth in spite of a continued inflationary environment, particularly related to wages, and also a further dilution impact of MBCC relating to the additional four months, which was offset by strong cost synergies, operational efficiency initiatives and significantly lower MBCC related one-time costs compared to the same period in the previous year. On the personnel cost side, specifically, those increased by 15.2% versus a top line growth of 9.2%. An additional dilutive acquisition impact of MBCC was the main contributor. And secondly, as mentioned, underlying wage inflation continued to account for a little bit more than 5% personnel cost increase on a like-for-like basis. This was partially offset by synergies as well as operational efficiency initiatives, but still at the negative leverage overall of about 100 basis points. Other operating expenses increased under proportionally by 4.5% versus top-line growth of 9.2%, driven by lower acquisition-related onetime costs, synergy development and operational efficiency initiatives. Overall, the integration of MBCC, as we have heard is going very well. We've realized total synergies in the amount of CHF53 million in the first six months of 2024, already significantly exceeding last year's contribution of CHF41 million for eight months and pointing towards a full year 2024 synergy number above CHF100 million, exceeding our previous guidance. And the reason is increased to CHF100 million to CHF120 million on a full year basis. As a result, EBITDA increased strongly over proportionally by 24% to a record amount of CHF1.093 billion, up from CHF881 million in the previous year and an EBITDA ratio of 18.7% of net sales, also here up from 16.5% in the previous year for 220 basis points. Depreciation and amortization expenses increased by CHF50 million in absolute terms to CHF271 million or 4.6% of net sales primarily due to the residual impact of MBCC related to the four additional months. While here, depreciation and amortization expense on an organic basis were virtually flat. As a result EBIT also increased strongly over proportionately by 24.5% to CHF822 million. Looking below EBIT, here net interest expense increased by CHF36.7 million compared to the same period of last year, increased to CHF79.4 million. The increase is largely related to the financing of the MBCC acquisition, primarily through the issuance of bonds. By contrast, other financial expenses decreased very significantly by CHF 53 million to result in a small net income of CHF 1.3 million in the first half of 2024. This is primarily related to a hedging gain on a currency swap, but also to significantly lower foreign exchange valuation effects mostly related to MBCC as well as lower financing charges for the initial bridge financing arrangements in the previous year. On the tax line here, Group tax rate in the first half of 2024 decreased from 27.2% to 22.4%. This is largely related to higher tax deductibility related to financing as well as a favorable country and profit mix. Resulting net profit increased very strongly to CHF 577.1 million or 9.9% of net sales. This is up more than 40% compared to the same period in the previous year. Also, cash generation was very strong in the first half year, with operating free cash flow for the first six months at CHF 401 million. This is CHF 79 million above a strong 2023. Here increasing profitability, high depreciation and amortization, overcompensated modestly higher taxes, CapEx and the normalization of the seasonal net working capital patterns to end the first half year at the record level. Quickly on the balance sheet. Here in comparison to December 2023, we saw the normal, seasonal development in terms of net working capital balances, but also an extension related to a slight depreciation of the Swiss franc. In May, we entered the Swiss capital market. We have a two-tranche straight bond issuance in the total amount of CHF 400 million at favorable rates, reducing the drawdown of our RCF facilities. The RCF drawdown stood at CHF 790 million at the end of June. And net debt-to-EBITDA leverage stood at 2.6 times. This is unchanged to the end of December, owing to the aforementioned seasonality, but particularly also the payment of the dividend in April. With this, I conclude here my remarks and hand back over to Thomas for the outlook.
Thomas Hasler: Okay. Thank you, Adrian. For a detailed explanation of the numbers and the performance that leaves almost no room for questions, but we will see later if there are still some questions open. Let me summarize, maybe it’s halftime. It’s a football term we learned during the Euro Cup. It’s halftime. And unfortunately, the Swiss team didn’t make it to the final. That’s in football. But in construction chemicals, the clear leader, Sika, has in the first six months extended and built a bigger spread between us and the other players in the market. We have gained market shares. And this is also our model for the second half. We go into the second half with the strong performance that we have from the back office and the sales side, I think, we are in full attack mode. And we are going to gain further market share in the next six months. This is the confidence that we have, this is our, let’s say, drive for the next six months and this is also giving us the reconfirmation that we can stay with our outlook that we have provided early in the year with 6% to 9% increase in sales, in local currency, further expanding our EBITDA in an over proportional way and also confirming our 2028 strategic targets for sustainable and profitable growth. And with that, I guess we are open for questions if there still remain some questions.
Operator: [Operator Instructions] Our first question today comes from Cedar Ekblom from Morgan Stanley. Please go ahead with your question.
Cedar Ekblom: Thanks very much. Hi everyone. Can you talk a little bit about how we think about gross margin on a little bit medium-term view. You mentioned that there was a dilution from MBCC in the number for H1. So, underlying that sort of comes towards your gross margin that should pick up. And then you’ve obviously got your initiatives around value selling, innovation, trying to use more recycled content in your materials. Is there a potential that your gross margin should be structurally above 55% on a medium-term basis? So that’s the first question. And then the second question, a little bit more near term. I’d like you to dig a little bit more into the cost development because to be frank, the numbers came in higher than I had expected. You are talking about CHF 53 million synergies coming through from MBCC, which should have helped in the H1, but I can’t really see that reflected in the numbers. So, a little bit more on the cost side would be helpful in understanding how that trends into 2025 if volumes come back? And then one very quick one. How do we think about D&A [ph] in the second half? Is it a similar percentage of revenues?
Thomas Hasler: Okay. Thank you, Cedar. I’ll take the first question on the gross margin and especially also on the expectation in regards to the integration power as well as the, let’s say, the conversion and the transformation of the industry. It is very clear that we have an ambitious, let’s say, target range on the gross margin of 54% to 55%. Our aim is to keep it as high as possible. New products that come in generally are carrying higher gross margins than, let’s say, more, let’s say, established products that’s no different for products with, let’s say, higher sustainability contribution. We aim at this and we generate more value for our customer and the gross margin, therefore, has to be clearly above. That’s given in our innovation pipeline overall. The combination of the two portfolios that we have implemented and are still further expanding is, of course, also allowing us to not only, let’s say, optimize the offering to the customer, but also using the best platform to deliver the solutions and the cost efficiency that we have from both sides in delivering the best, let’s say, price cost offering is also part of the integration efforts. So, we have these two elements that are contributing to the healthy gross margin evolution. And also going forward, I’m optimistic that our gross margins will hold strong and will also be probably moving to the upper side of the range that we have indicated.
Adrian Widmer: Then Cedar, on the cost side, let me give you a bit more color. I mean, there is indeed a number of elements. Maybe firstly, as I mentioned, MBCC in the first months of, let’s say, residual contribution here also came in with any initial dilution similar to the last eight months of the previous year. And this account, let’s say, on a on a half year basis for around 80, 90 basis points overall in terms of margin dilution, which was pretty much, let’s say, countered by the CHF 53 million of synergies relating to the first half year. So, that’s more or less [indiscernible]. And then if you sort of back out the impact of the onetime cost, which were quite significant last year, significantly lower this year, we basically here expanded the EBITDA by 70 basis points. So, a positive, let’s say, top line cost spread, clearly driven by material margin. But obviously, here also underlying cost development is a consideration in pricing and managing our overall margin. On the other hand, very clear. I mean we continue to have, in that sense, a negative leverage, driven particularly by let’s say, wage inflation of a little bit above 5% at, I’d say, relatively low organic top line growth here having an impact on, let’s say, pure leverage from a cost point of view, which we are countering with operational efficiency initiatives. If you look at the pure cost development also quarter-over-quarter, we have clearly here shown an improved picture in Q2. So, exit rate is actually better. And going forward, here, let’s say, the incremental synergies and also our continued efforts on the operational efficiency side. And in general, I would expect a somewhat more contained inflationary element. On the cost side, we’ll, let’s say, further improve that part of the equation, but we will overall continue to drive that positive cost price spread. Maybe lastly, I think that was on the D&A cost here. I mean there’s no additional let’s say, acquisition impact. I mean the one on Kwik Bond is very small. So, on an absolute basis, just a small increase driven by organic development, given seasonality percentage of sales should rather be lower than in the first six months on the full year.
Cedar Ekblom: Great. Thank you so much.
Operator: Next question comes from Elodie Rall, JPMorgan. Please go ahead.
Elodie Rall: Hi, good afternoon everyone. Thanks very much for taking my questions. The first question, I’ll come back on margins, sorry about that. But to be a bit more blank in terms of material margin 55.1% in H1. Why couldn’t this stay flat for H2 if volumes are looking to be better and input costs stabilize? So, is it just because you’re a bit prudent into H2? And do you think that EBITDA margin at 20% is now achievable this year? So that’s my first question on margins, both gross margin and EBITDA. And second question on the outlook for like-for-like top line growth into H2 as well. So, you did 0.5% in H1 but you’re looking more optimistic for H2 on that one. And you mentioned looking to gain further market share. So, can you develop on how you achieve – do you plan to achieve that? And what kind of acceleration we could expect for H2? Thank you very much.
Adrian Widmer: Yes, I’ll start here with the material margin. Probably sort of the prudent element that’s never wrong. So, I will certainly not discard, but maybe more seriously, I think overall, yes, input costs are flattening. On the other hand, they continue to be relatively volatile, and we also obviously see here impacts, for example, here in the Red Sea, can have, particularly on, let’s say, transportation from Asia also, let’s say, availability from Asian raw materials. So, I think there, we will see continued volatility. We typically also – and this is more from a seasonality point of view, we tend to have, let’s say, slightly lower material margins in the second year, absent, let’s say, any movements here on, let’s say, pricing and input costs. So, we’re not expecting here, let’s say, a deterioration, but let’s say, to call for a linear increase is probably also a bit not prudent. But clearly, we will continue to manage here. Material margin is one of the elements. But as I said before, that’s, let’s say, not a dogmatic range, but clearly, it’s also driven by innovation, but also by some of the efficiency initiatives.
Thomas Hasler: Okay. And Elodie, on the organic evolution in the second half and why we are confident that we can hear again outperform, it is very clear, the market environment is probably not going to do the major parts to this. There are some, let’s say, positive elements. But I would say, like the first half, it’s in our hands. And what we have done consequently, in the older markets is steering our activities towards the areas where we have, let’s say, a good base volume. Like, for instance, in Germany, where infrastructure refurbishment is always available, it is not declining, it is solid and there, we have a clear initiative not only on the road and rail infrastructure, but also into the water infrastructure, on freshwater as well as sewage water. There is a huge potential, and we have proactively steered the organization into this direction. This takes a little bit of time. We have this initiated last year, towards the end of the year, in line with the new strategy, but this is driving additional momentum, mostly markets that are still challenged. The same in the U.S. I think everybody is aware of the reshoring activities. This we have also articulated in our activities to have a clear momentum there, as well as on infrastructure and a little less on residential activities. Another element where we have very solid, let’s say, underlying market conditions, and they are delivering also in the first half, but still further potential in the second half are areas like Southeast Asia that we see good potential to further accelerate. We are expanding our footprint there. We have initiatives in place that will deliver in the second half, the same in the Middle East. The Middle East and Africa are growth engines, high single-digit to double-digit growth, and we are not exhausting that potential. So we are steering that as well. And so therefore, let's say, a lot is in our hands to steer and our organization is fully up to this and understands. We go where the money is, means also that we tap into areas where we are present but eventually can even further penetrate by using the full power of the integrated portfolio that we have and it delivers. It is one of the elements, why for instance, Germany has turned from a very negative, let's say, start beginning of last year into the positive. That's not because the market has been, let's say, super supportive, but our activities have shifted and therefore, we see now also the fruits of those readjustments that we have done. And the same happened in the UK. The same happened in all the major markets where we just consider the world is changing and our offering and our, let's say, activities must anticipate that and it is delivering. We are agile in these regards. And therefore, also the outlook on the acceleration of the organic side, we see quite positive.
Elodie Rall: Thanks very much. And if I just may, I was asking also about EBITDA margin this year, if you think you can achieve 20%? Thanks very much.
Thomas Hasler: I mean we are all aware that this is the aspiration. That's part of the strategy 2028 and it is clear. We are aiming high, and we don't give up on such aspiration. It's too early to promise anything but it is also not completely out of reach. I think we have it also there in our hands, we will drive for the best possible results. It will be, I think, a very solid result and at the end, I think in three months, we probably are closer to guide in this regard, but the 20% is a clear aspiration for the whole organization. We want to be earlier. We want to be more impactful in everything we do. And therefore, your question is very valid. I'm a bit hesitant to say yes, immediately, but it's a clear direction that we want to go. And I think the momentum is there, and it is, let's say, something that is not excluded.
Elodie Rall: Understood. Thanks very much.
Operator: Next question comes from Ephrem Ravi from Citigroup. Please go ahead.
Ephrem Ravi: Thank you. Two questions. First, on your sales to the automotive market at a group level. The sales for your products to industrial manufacturing fell around 4% year-on-year in the first half, which I suppose is the automotive impact. How do you see the sequential progress from here? And within that, how much can increase in content per car offset lower car production? Historically, how much has your content per car increased, let's say, over the last 10 years? And secondly, personnel cost as a percentage of sales was 18.8%, I think, one of the highest in recent years. Is this – you explained 5% of that was because of this 5% increase in the wage cost per person. Is this the biggest cost inflation that you've seen? And how long do you think it will take for you to basically bring it down to the 17% sort of level that you have been doing before? Thank you.
Thomas Hasler: Okay. I'll take the first question, and I'm not sure where you got this 4%. I think we are outlining that our let's say, construction industry growth in the first six months has been 0.9% organic. And on the industrial manufacturing, it is minus 1.1%. And you're absolutely right in this industrial manufacturing segment, there is a big portion of the automotive business, which I would say in Asia, for instance, in China is going quite well. We have there an expansion in build rates. But unfortunately, Europe is drifting more and more into the negative in regards to build rates, given the uncertainty about the transformation to e-vehicles, our customers, the OEMs are changing their launch plans for our models constantly. It is an unseen situation where this start of productions are delayed by six months to 18 months. The new models are running at a very low capacity level where the old models are still keeping going. This is a very unfortunate, let's say, situation in terms of the content per vehicle buildup as we have here. Naturally, with the older new book sales, more content on new vehicles compared to the outgoing vehicles. So here, we have a certain distortion. Overall, we are going to show those numbers then at the Capital Market Day in more details, but we are gaining GPV. If you look at the total market worldwide, but that's mainly driven by our advancements in Asia Pacific. But as well, North America is doing better. But Europe is clearly shifting. Europe also from an industrial manufacturing point of view is not doing, let's say, very well. We have here, let's say, the leisure part, caravans and motor homes that have been hyping in the last two years are coming down quite significantly. Truck business is also showing some weaknesses. So here in Europe, we have a bit of a clear indication that that inflationary elements are making investments into these kinds of goods for consumers as well as for businesses, a bit less attractive. This is not the case in Asia where we have a strong momentum. And North America is more, I would say, flattish in this regard.
Adrian Widmer: Then on the personnel cost, I mean, you're right here, the let's say, the wage inflation is one of the driver. The other one is here as I called it sort of initial dilution by MBCC running at higher personnel cost as a percentage of sales. So these are, let's say, two main drivers. This being said, there is also a seasonality element typically on a full year basis, the ratio is lower. So I also expect here then on a full year basis to be a bit lower than the 18.8% [ph] further elements that will again drive this down is further synergies, our operational efficiency initiatives. And in general, obviously, improving leverage as growth is improving. So these are the elements that will lead to a gradual decline of that ratio.
Ephrem Ravi: Thank you. If I can just quickly clarify. The 4% decline was the product for industrial manufacturing that you report, CHF 885 million in 2024. That's on Page 18 of the report.
Thomas Hasler: Yes. I think – I see now. I guess, you're looking at the change in Swiss francs, which is 4.2% minus.
Ephrem Ravi: Yes.
Thomas Hasler: But yes, we are looking at the organic change in local currency, we have a currency effect in there.
Adrian Widmer: There's about 3% current year in there as well.
Ephrem Ravi: Impact. Thank you.
Operator: Next question comes from Brijesh Siya from HSBC. Please go ahead with your question.
Brijesh Siya: Hi good afternoon. I have a couple as well. So starting with the market share gain, Thomas, you talked about. If you could just give a little bit elaborate how the underlying market is behaving especially in your footprint? And what kind of magnitude of market share can you had in first half? And looking at into H2 and beyond, how do you kind of – you look at as the market competitive dynamics behaving? Then the second one is on the new plant openings. You had one in Middle East. Can you just elaborate a bit what's your plans into this year and into next year in terms of new plant openings? And potential revenue that could generate? And the last one is – you talked about, Adrian, you talked about that the exit rate for June was looking stronger in terms of how the costs are moving. And so basically, if you could just go a little more into the – how the – you see the cost developing into H2? So if you can just elaborate a little more about exit rate, what do you mean by the better one and comparison into Q1 or last year as such.
Thomas Hasler: Okay. I try to take the first one. It was not very clear, but I think it's about the market trends and the dynamics in the market that you were interested in. And here, yes, this is now, let's say, a little bit decoupled from our net sales evolution as we are outperforming in most cases, the market trends. But when we look at the market trends starting in China. It is very clear that there is no real sign of recovery. The residential market still is very challenged. The initiatives so far. Also the recent one that the central government has made has not shown any impact here, it's very clear that the consumer confidence and the confidence of the Chinese into the system buying apartments or investing is very, very limited. The only aspect that works is the strong drive of the central governments for electrification. So the incentives are high. And therefore, we see a strong transformation momentum on the automotive side in China. But other than that, I think the hesitation to – by the consumers is pretty high and not yet addressed. So here, we don't expect also that there will be substantial change in the coming six months. In Europe, I think here, we have bottomed out. The things are showing signs of improvement. And for us, as I mentioned, even more than that, we are moving into the positive while many markets still in the negative. Germany is a good example. But I also would like to outline that Italy is a market that is growing. It also is a bit subsidized dependent on the energy efficiency initiative if that Italy [ph] has in place. That's good for Sika, but I would also say it's good for the market overall. That market is in the positive and also further advancing in our expectation. It is in the Middle East, where I think we have lately heard about a certain shift in Saudi Arabia. A little bit more towards Riyadh instead of the NEOM, but that is kind of trading big projects from the north into the central region. So here, we expect that, that momentum will continue being quite strong and substantial. And that goes a bit into your question on the new plants. We are planning. I can't announce now, but we are planning to further expand our footprint in the Middle East, given also the strong momentum that we have that we want to capture this. This is clearly part of our, let's say, strategy for the next six months to 12 months. The expansion in Africa is well advancing here, very clear continuation. North America I would say with the change in the race for presidency not much has really changed. The momentum we're still a little bit open, questionable in regards of the market evolution. We expect here probably also not much to happen. The tax – sorry, the interest cuts may now come in the later part of this year, but probably too late to have a real, let's say, stimulating effect on our markets. But this may then be different when we look into the next year. Maybe back to the plant opening. We have a few that are in the makeup and I think also from a CapEx side, we allocate quite a bit of our CapEx into the expansion of our footprint. Of course, also in the let's say, into upgrading into efficiencies for existing ones. But like the one in China, like the one in Peru, this our expansion investments, and we have several of those in the hopper that we will announce when they are ready. And we intend also to continue those investments, but those investments are not the first. Those investments are building on the momentum on the commercial momentum in a country or in an area and then it's reinforcing and is building on volumes that have been already, let's say, acquired and then are giving base volume for these new factories, these high-capacity factories to then, let's say, quickly turn to a high-efficiency operation with best cost structures.
Adrian Widmer: Then maybe lastly here on the cost development. My comment was related to the fact that in Q2 we have seen, let's say, a lower OpEx and personnel cost growth vis-à-vis top-line growth compared to the first quarter. And that is also what I do expect for the second half. That on the one hand, wage inflation should ease at least slightly and then synergies and our initial initiatives will drive here a lower cost growth to then also drive eventually operating leverage.
Brijesh Siya: Fair enough. Just a follow-up, Thomas, to you on North America. When you talk about second half, given the growth we had in the first half and possibly that's better than what you had guided early in the year. How do we look at it second half? You have an easy comp coming in Q4. So despite the market not doing much, what should we expect from Sika?
Thomas Hasler: If it would be so easy, that – no. You're right. I mean I think the North American market has had some softening in the second half last year. And we don't see any reason why our momentum that has built up over the last six months to nine months, would appropriately stop. So it's absolutely correct that we have there, the positive momentum that we anticipate also to continue and also further, let's say, accelerate. It's just that the, let's say, the market environment probably is not going to change that much. But again, it's in our hands, and we have a very strong, motivated team, a stronger team than ever in North America. And they are delivering, and will also deliver in the second half, let's say, organic growth, gaining market shares in North America.
Brijesh Siya: Perfect. Thank you very much.
Operator: Next question comes from Ebrahim Homani from CIC. Please go ahead.
Ebrahim Homani: Hello. Thank you for taking my question. I have three if I may. The first one is about the roofing market. In North America, could you please give us your update on maybe your expectation on this – on this market trend in H2? And my second question is about the market share you say that Sika gains market share in all the markets? Is there against the large competitors against the small ones? Thank you.
Thomas Hasler: Okay. I'll try to answer the first one. I didn't get the second one, but let me start on the roofing side. I think it's a great market. It's a market that has had some challenges. We have seen last year in the first half quite significant destocking issues in the roofing market. Roofing market needs to be also kind of put into different buckets. Our roofing market is different in the general roofing market of other players like [indiscernible]. Our roofing market is a single-ply market is oriented towards commercial, high-end construction. Is not in the residential and it is a combination also of, let's say single-ply, liquid and green roof. So we have a bit of a different setup probably than peers that you may look at that have been, let's say, very much challenged last year during the first half. But going into this year, there is some recovery, which we also see in our business, that's very positive. But I would say it's not that easy to compare with the one-to-one players in roofing.
Ebrahim Homani: Thank you. On the market share?
Thomas Hasler: Thank you. And that's related to which markets, the market share?
Ebrahim Homani: In the major markets of Europe, Americas, do you gain the market share against small competitors or again the largest ones?
Thomas Hasler: It's both. It is both. I think markets that are shifting, let's say, more to innovative renewable solutions here. It's clear that the small players have a bit a tougher time to adapt as quickly. So that's in mature markets, probably a bit more pronounced than in emerging markets. In emerging markets, I think we win against the large players because of our existing full-fledged footprint that we already have, that we can build on our over 400 factories that are ready for expansion in Africa, Middle East, Asia. I think there, it is less the small players, the small players are not active on these infrastructure projects. They are not so active on the larger investments projects there rather in the very, let's say, local residential businesses. So it is both – we are winning market share against both, but with a little bit of different magnitude according to the market maturity.
Ebrahim Homani: Okay. Thank you very much.
Operator: Next question comes from Martin Flückiger from Kepler. Please go ahead.
Martin Flückiger: Good afternoon and thanks for taking my question. I've got three. The first one is, I'd like to get back to the topic of construction activity in European key markets, where you see some improvements. Now my understanding is that Southern European markets have faired overall better over the last, I don't know, 12, 18 months or so, versus Northern Europe or Central Europe. Just wondering whether you could talk a little bit more about in more detail about Germany, France and Italy when it comes to the various construction market segments, i.e., resi, non-resi and infrastructure that would be really helpful? That's my first question. And then secondly, again, I would like to come back to what Adrian was earlier talking about regarding the raised guidance on the 2024 synergies. I was hoping you could provide a little bit more granularity there, what the sources are? I realize it's related to MBCC, but whether it's procurement, whether it's production setup, streamlining, whether it's layoffs those kind of drivers? And then finally, just a housekeeping question on the corporate line and the tax rate for 2024. If Adrian could provide some kind of guidance on what we should expect from the other segments and activities line in terms of EBITDA. I seem to think – I think to remember we were at around CHF 140 million, CHF 150 million minus on that line last year. Just wondering what is a reasonable number to assume for 2024? And then also looking at the tax rate, it was at 22.4% based on my calculation in H1. Just wondering whether that's a good proxy also for the full year? Thanks so much.
Thomas Hasler: Okay. Thank you, Martin. And I go in the first one. Looking a bit at the three countries that you mentioned, Germany, France and Italy; Germany being also let's say, a bit a curse [ph] for Northern Europe, so Scandinavia and so on. Market that is very much challenged for quite a while now, and where we, as I mentioned are focusing on readjusting our efforts towards segments where we have, let's say a strong underlying base demand like the infrastructure. But on the other hand, also in Germany, the acquisition of MBCC has opened up a significant, let's say, distribution channel to us with the PCI business coming together with the Sika business. We have realigned our let's say, distribution access towards the German market, and we have established a very strong portfolio and are also taking in this very challenged market let's say, a strong position to advance. This has been established over the last six to eight months. It has been part of our, let's say, initial let's say, synergy plans for Germany, that Germany will be elevated much more to a balanced direct and indirect market where it was before very much misbalanced. So here, these are two initiatives in Germany that helped us to create the positive momentum, even to market conditions, I wouldn't say are in line with that. So we are outperforming there. France is an interesting market. France has been, as you said, a part of the Europe South cluster. Has been performing very well, has been early on, let's say, turning positive for Sika in Q2 last year. We see at the moment, France, a little bit sideways going that happened about mid-May time frame. We expect this to be probably lasting until September when all these Olympic games and the -- then the other -- the games are over, we see that activities in construction are reduced. Greater Paris is a celebration location, not the construction site. So we have here an impact that we see seasonal and not structural. So we expect France to come back in late Q3 and Q4 to the same momentum as before. And Italy, and sorry, and then in France, maybe similar to Germany, France is a strong distribution business for Sika. And also here in France, we have initiated similar to Germany, at a direct approach towards infrastructure, infrastructure refurbishment, which is also in France a big topic. There was a big spend. And we are also there going with a dual approach, distribution and direct with a focused approach to drive market share gains. Italy is doing very well, is one of the countries where we have double-digit growth. And here, it is sustainable growth. It is now also, let's say, expanding from the pure, let's say, energy efficiency initiative, which was in the beginning also into other parts. So we have here a good momentum that we built out.
Adrian Widmer: Good. Martin, I'll take the other two. I guess the second question was here on the synergies and a bit of color around them. I think as we have initially guided in terms of development of synergies that they will be at least initially more heavily related to, on the one hand, procurement but also other cost synergies and here, top line related ones are rather smaller. That is correct here, the CHF 53 million or, let's say, to a smaller extent here top line driver, although we have good initiatives and also a corresponding contribution. And then I think here, the large part of actually procurement synergies have now been realized as we have quite let's say, a good start because we were able to prepare. So if you look at sort of the CHF 53 million, I would say, roughly about here, CHF 35 million, CHF 40 million or more material margin related and the rest is cost overall. In terms of the synergies itself, we have an average sort of monthly impact here of CHF 8.8 million. If you calculate this with, let's say an increasing run rate. So that's the dynamics here around the synergies overall. On the tax rate, we had, as I mentioned a couple of, let's say positive or favorable impacts here in the first half, would also anticipate a rather positive development and therefore, would see for 2024, sort of a tax rate quite similar to last year, which was sort of 20.5%. But, so around 21% here as an estimate, obviously, there is always a certain volatility here in the tax rate.
Martin Flückiger: Okay. Sorry. And then on the corporate line, what do you expect for the other segments and activities because that's quite volatile, yes, from one...
Adrian Widmer: I mean out of that, sure, largely driven by, let's say the significant onetime costs. I think on EBITDA level that was at CHF 240 million negative. I think we are obviously here much – we have much smaller one-time costs. So the first half year is actually a good representation. So it will be roughly double, I would say, CHF 170 million, CHF 180 million here on EBITDA level on the corporate segment.
Martin Flückiger: Thanks so much.
Operator: Question is from Jon Bell from Deutsche Bank. Please go ahead.
Jon Bell: Yes. Afternoon, Thomas and team. I've certainly enjoyed your football analogies. My question is really, apologies, my question is on the Americas, slightly better-than-expected performance, if I look at the organic sales growth number. When you think about your activities in the U.S., how can you express your exposure to both the IIJA and the IRA in relative terms?
Thomas Hasler: Okay. I mean in relative terms, I mean, they are significant investments. We are benefiting, but we should not forget that, of course, the commercial investments are kind of very significant as a segment as well as, let's say the government spending on hospitals, on big infrastructures. So I would say it is an area where we have a special focus on to benefit for our concrete business, for our infrastructure business in general, but – and this is positive, but it is not that we are dependent that these activities are, let's say, for us, decisive. We take advantage. Also the re-shoring activities are excellent activities for us as a new build, but we should not forget that on the reverse side, companies investing into new construction are a little bit pushing back regular refurbishment jobs. They make it a bit more discretionary. They push them out and allocate their CapEx to new construction, and new construction is volume-wise, big spend for Sika, an excellent, let's say, revenue stream but compared to, let's say refurbishment spend, refurbishment spend has a much higher contribution for Sika for products while, let's say, the structure remains, we are let's say fixing structural issues with our products and have, therefore, a much higher contribution. So if a company spends CHF 500 million in a new semiconductor factory in Texas, that's great. But if the same company would spend CHF 200 million in refurbishment for Sika, that will be a multiple in potential. So therefore, yes, we want to participate where the money flows. But at the same time, it also goes in a reverse direction when it comes to the total spend of – especially of private owners in the U.S. market.
Jon Bell: Very clear. Thank you.
Operator: Our next question is from Arnaud Lehmann from Bank of America. Please go ahead.
Arnaud Lehmann: Thank you very much. Good afternoon. Firstly, on the financial position, the net debt. I think you mentioned, I think, around CHF 2.5 billion or CHF 2.6 billion Obviously, there is seasonality. So are you confident that you could get close to two times by the end of the year? That's my first question. And related to it, I guess, from next year, you're likely to be back below two times. Would you consider again medium or large-sized acquisitions? And my other question is related to one of the slides where you mentioned your total addressable market. I think you said 2023 was CHF 110 billion. Looking historically, I see this number just getting bigger. I think not so long ago, you were only talking about CHF 80 billion. So it's a CHF 30 billion increase on a two to three years period, which is quite a lot. Is it Sika entering new markets and therefore, adding potential addressable ones? Or is it largely the fact that Asia and Africa are just growing very quickly and you don't necessarily fully participate to this because you're more exposed to Europe and the U.S.?
Adrian Widmer: Arnaud, this is Adrian. I'll take here the first two. On net debt, I mentioned 2.6 times. And yes, this is very much in line with here the planning and confident that we will drive this down towards two times. This is the normal seasonality, particularly given that the dividend is paid in the first half. On – here, the related question on acquisitions also next year. Yes, that is the plan based on continued strong cash generation that we will also, from a leverage perspective, we should be clearly below the two times, which, again, opens opportunities for investments, particularly also on the M&A side. I mean, clearly, bolt-ons will continue to do. But at the same time, we also look here at medium-sized type an acquisitions overall as we normally do have quite a good funnel here of projects. So no change in the overall, let's say, strategy and focus to really accelerate here organic growth through acquisitions.
Thomas Hasler: Okay. And then on the second question, I think we – we have here a very, let's say, thorough exercise when we establish a new strategy that we look into the markets in a more holistic way. And also reset, let's say, the aim. And we do that so every three to four years. So the – let's say, the CHF 70 billion to CHF 80 billion was a part of our assumption in 2018, 2019. Now – when we look at the CHF 110 billion, I would say probably half of the increase comes from what you mentioned, the expansion of our activities. Activities, which are more global, which are also within the regions more independent. I think in the meantime, we have the full-fledged value chain in all the regions available. So the markets are addressable and that has added certainly some CHF 10 million to CHF 20 billion just from that side. And on the other hand, we also see that there is a shift in demand. It has also a shift towards, let's say, a more complex environment where cements are no longer cements. Cements are blended materials. They require more additives. Construction gets more difficult. The expansion of mega cities, they go vertically into the ground or above ground. This is adding potential for us. So I would say it's a structural element that we also highlight with our famous content over the last 30 years in construction chemicals, where we have a factor two between 1990 and 2020, where we expect this to accelerate into effect of 2.5% or even higher up to 4% in the coming years because of structural needs that markets have in availability, in sustainability, recyclability, factors that are more and more also opening up new revenue streams and adding to the overall addressable market for Sika.
Arnaud Lehmann: Thank you very much.
Operator: Next question comes from Yassine Touahri from On Field Investment Research. Please go ahead
Yassine Touahri: Yes. Good afternoon and thank you very much for taking my questions. Firstly, a question on the development, the recent developments. Can you give us a little bit of color on what you've seen in July? Do you see volume picking up from – versus what you achieved in H1? And do you see any potential improvement or deterioration in prices in second half versus what you achieved at the end of June? And then second question, which is a little bit more about the competitive landscape. Again, we see a lot of companies that are emulating your business model and trying to provide a solution rather than products and entering Sika markets. And it's a big change. A lot of the building material companies are trying to replicate Sika. So the competitive landscape is very different today from what it was like 15 years ago. Do you see any reason for you to adjust your strategy or to develop an answer? How do you look at the [indiscernible] landscape and your strategy over the next cycle?
Thomas Hasler: Okay. Maybe the first one, that's a rather easy one. July has not yet closed, but of course, we have an indication on the month. And I think also let's say, the positive outlook and the momentum that we have shared about the first half is reconfirmed in July. So we know what we are talking and July in this regard is a continuation of what we have seen. And I think, Yassine, maybe a little difference is France. France has a bit of this anomaly that the Olympic Games have an impact. But that's not significant for us. For us, the overall momentum towards the middle of the year and into Q3 and also into Q4, is the momentum that we build on, and that is positive. On the second question, the competitive landscape, it is obviously something that we noticed. We see a lot of our initiatives being copied being also, let's say, replicated. It is, of course, something we take serious. At the same time, our recipes just to move on to advance. And some of the, let's say, moves that we see a quite complex move that we do have some doubts in regards how quickly and how fast this can be replicated because it takes more than just, let's say, a few slides and a few strategic moves. You need a whole organization behind. The complexity that Sika is managing with 103 countries, the way we steer our business, the way our general managers in the countries are incentivized, but at the same time, also linked to the overall regional and global targets is quite, let's say, unique, and it is very much, let's say, the essence of our success story that the people understand the model. And when you are acquiring, when you are adding things, it may look great in top line, in synergies, but you need the people to implement. So here, we see this – we understand. We love our business. We believe it is an exciting business. But we want to drive further and further. And here, I think the forward strategy for Sika is taking market share constantly bringing solutions, innovation and concepts which are unique to the market. As a leader, we have an obligation to do so, and we will do so. But as the Chinese say, the honor of being a market leader is that you are copied and the copies over time, eventually will advance. But once they are there, where you are now, you are already two steps ahead. That's our clear goal that we here do not spent too much time looking into the rearview mirror and looking who is around and what's announced. The battle happens in the field at the customer and the customer is looking for performance, cost performance solutions, advice and more and more, they are also looking at less complexity, which means more out of one hand, a competent support that is fully committed to this business. We are fully committed as a construction chemical company to construction. Others still carry a lot of other things, which I don't want to comment, but this is also, I think, the structural strength that we have. Our customers, they are customers that build construction, infrastructure, buildings or the build automotive or, let's say, industrial products. This is – these are the focus area, and this is giving us a lot of strength that we can leverage. The people, the segment orientation. And then ultimately, of course, also, we have here a lead that we don't want to reduce, but rather expand and it is in our hands. We are spending on innovation. We are spending on the expansion. And it's an underlying growth market for many years to come. The megatrends are all in our favor. And we respect competition. Competition is a healthy thing per se, but it is nothing where we are concerned or worried. I think we have them all on the radar and we know how to deal with them.
Yassine Touahri: Thank you very much.
Operator: Next question comes from Remo Rosenau from Helvetische Bank. Please go ahead.
Remo Rosenau: Yes. Hi, Thomas, Hi, Adrian. Just a few clarifications left. Did I get that right from your previous statements? Germany came back to a positive growth path in the second quarter?
Thomas Hasler: That's correct, yes.
Remo Rosenau: Okay. And just slightly or significantly?
Thomas Hasler: It is a significant improvement, but it is slightly positive. So I hope I can then in three months, revisit and answer and also say it is now significant. It is slightly positive. But we are very happy. It's an important milestone for our German organization, demonstrating that they can outperform, that they can, by their own initiatives find a way to the positive to the black [ph] numbers on growth.
Remo Rosenau: Okay. Great. And then about Europe, in general, EMEA showed the 0.5% positive organic growth in the first half. And is it the right assumption that EMEA, Middle East Africa showed the pretty positive growth while the E for Europe overall was still negative. However, with the improving outlook going into H2.
Thomas Hasler: Yes and – yes and no. I mean the 0.5% for EMEA, if we would just look at construction and deduct, let's say, the automotive, let's say, challenge that we have, the EMEA growth rate would be in construction roughly 1%. And it's correct by a little bit above 1%, Adrian if correct…
Adrian Widmer: Plus 1%.
Thomas Hasler: Plus 1%. So the Middle East and Africa and Eastern Europe are contributing more. That's clear. But we have more and more countries like Italy, now Germany also. France that are positively contributing. We still have, let's say, in the Nordics, several countries that are not yet at that point. But overall, yes, Europe is more challenged, but we are moving. We are moving in those countries as well.
Remo Rosenau: Okay. So without automotive, Europe would have been...
Thomas Hasler: 1.5%. Yes.
Remo Rosenau: Okay. Good, that's it for me. Thank you.
Thomas Hasler: Thank you, Remo. Okay. I think this brings us to the end of our call. We take this opportunity as well to highlight the date of our next Capital Market Day. It will be in Zurich on October 3. So please mark this in your agenda. With this, we thank you for listening to our call and for your interest in Sika. We wish you all the best and an excellent summer.
Adrian Widmer: Thank you.
Dominik Slappnig: Take care. See you soon. Bye-bye.
Thomas Hasler: Bye-bye.
Operator: Ladies and gentlemen, the conference has now concluded, and you may disconnect your telephone. Thank you very much for joining, and have a pleasant day. Goodbye.